Operator: Good morning, and welcome to The J.M. Smucker Company's Fiscal 2022 Fourth Quarter Earnings Question-and-Answer session. This conference is being recorded. [Operator Instructions] I will now turn the conference over to Aaron Broholm, Vice President, Investor Relations. Please go ahead, sir.
Aaron Broholm : Good morning, and thank you for joining our fiscal 2022 fourth quarter earnings question-and-answer session. I hope everyone has had a chance to review our results as detailed in this morning's press release and management's pre-recorded remarks, which are available on our corporate website at jmsmucker.com. We will also post an audio replay of this call at the conclusion of this morning's Q&A session. During today's call, we may make forward-looking statements that reflect our current expectations about future plans and performance. These statements rely on assumptions and estimates, and actual results may differ materially due to risks and uncertainties.  Additionally, we use non-GAAP results to evaluate performance internally. I encourage you to read the full disclosure concerning forward-looking statements and details on our non-GAAP measures in this morning's press release. Available today on this call are Mark Smucker, President and Chief Executive Officer; and Tucker Marshall, Chief Financial Officer. We will now open up the call for questions. Operator, please queue up the first question.
Operator: [Operator Instructions] Our first question today is coming from Andrew Lazar from Barclays.
Andrew Lazar: I thought as the first food company to give guidance for the upcoming fiscal year that in light of recent industry chatter regarding consumer behavior and retailer commentary, I thought it might make sense to start with having you address this building investor notion that the pricing window has all of a sudden effectively closed for the industry as a whole, which is a particularly important topic given your expectation for mid- to high-teens inflation still to come in fiscal '23?
Mark Smucker: Andrew, it's Mark. Thanks for the question. I guess I would just respond directly, first of all, by saying that we don't believe that there's a window, right? And it is our responsibility to always manage our costs, which we do on an ongoing basis to ensure that we're thinking about cost productivity. And when we do need to take pricing, we will do that. And that will not change. So we will continue to partner with our customers, as we've talked about in the past, and be very prudent and judicious. We're obviously cognizant of the pressure that is on consumers. But as you know, we have a responsibility to our shareholders to protect our dollar profit. And we have confidence that not only have we been able to do that, that we will be judicious and prudent going forward and use all of the levers at our disposal to do so. So we will continue to manage through it. I know that we've experienced a significant amount of inflation, and Tucker can provide more detail. But a majority of our cost increases have successfully been priced for at this time.
Andrew Lazar: And I guess, second, just quickly, Uncrustables is clearly expected to continue to drive significant growth going forward. And obviously, you've got the incremental capacity additions that you're working on as well. But maybe you could discuss the sort of the trends in volume, which have just accelerated late in the scanner data. I don't know whether that's just more capacity related or what have you. But any context around that, I think, would be really helpful.
Mark Smucker: Sure, of course. Well, first of all, demand continues to exceed supply. And so we're continuing to manufacture as many sandwiches as we can. We actually made over 1 billion sandwiches in the fiscal year, which was, of course, a record. And we did see a little bit of a deceleration in the fourth quarter, largely just because we had some supply constraints related to supply and labor, which we have resolved. And so we do expect to return this quarter to double-digit growth. And then as the completion of the second phase of our Longmont investments finish, we would expect to see some additional acceleration for Uncrustables sales in the back half. So bottom line, brand is super healthy. It's going to continue to grow. The demand and supply dynamic is as we've discussed, and we continue to make meaningful investments in capacity to support that. So we do believe that we will become a $1 billion brand.
Operator: Our next question is coming from Ken Goldman from JP Morgan.
Ken Goldman: I wanted to follow up on the question about retailers and the price environment by asking about your competitors and the price environment. We are starting to see in some categories, I don't think necessarily in yours, but maybe a little bit in coffee that certain vendors or certain producers are raising prices and others are too, but maybe not to the same degree, at least what we can see in scanner data. So are there any indications you're seeing that whether inspired by retailers or whether inspired by their own decision-making, any of your competitors are being a little more conservative in taking some of the pricing that maybe you think is necessary?
Mark Smucker: Ken, I think it's really difficult to answer that question specifically. We obviously keep a close watch on our retail customers as well as our competitors. I would say the general comment is that we have seen competitors across our categories take price. In many cases, we have led those prices and price increases. In some cases, we have followed. But I think the headline really here is that really the tide raises all boats. So as we're all experiencing similar cost pressures and, again, that's a general statement, I do believe that we all are responding in a relatively similar manner to those cost increases. So the inflation tends to be broad-based across categories.
Ken Goldman: And then for my follow-up, one of the questions we're hearing this morning is whether Smucker's guidance for organic sales growth next year is aggressive, right? I think it came in a little bit or maybe a lot higher than what some people were looking for. So I'm just curious clearly, you've, I think, talked about how you've taken a lot of pricing, you feel that -- feel really good about that. You've also guided to elasticity picking up a little bit. But Mark, are there any things you can tell investors about why they should feel comfortable that elasticity won't be much worse than what you expect? Or maybe that retailers won't really lean in on you and your competitors maybe to start promoting more? I just think people are a little bit looking at this guidance and thinking, all right, it's maybe aspirational to some extent. I was just curious for your thoughts on that.
Tucker Marshall: Ken, this is Tucker. I'll begin and then hand it to Mark to talk about some of the business considerations that you just asked. But when you think about the growth year-over-year on a reported basis, we're saying we're up 4%. When you isolate the divestiture impact that occurred in FY '22, that provides 2 percentage points of growth, which gets you to 6%. And then as you isolate the Jif recall for FY '23, that then takes you to 8% underlying growth year-over-year. That 8% comprises 15% pricing, offset by 7% volume mix, which is primarily due to price elasticity of demand. When you think about the 15% year-over-year pricing, that is pricing actions that we took in FY '22 that will fully materialize or benefit or lap into FY '23. And we did take early spring pricing for the benefit of our full fiscal year of FY '23 in that 15%. I'll pause and see if Mark has anything else to add on the businesses.
Mark Smucker: Yes. I get a couple of headlines, Ken, just to respond directly. We do have a lot of confidence in our portfolio. And I think when you look at the results, particularly this quarter, 86% of our portfolio growing or maintaining share, that just does not -- that just -- it doesn't just happen. It really is a combination of fantastic investment in our business, execution by our employees and the execution of our strategy by which we have refined our portfolio. And so all of those factors have contributed to those fantastic results. And so we just think that our -- we believe that our strategy is truly working. And then more specifically, elasticity, even in the quarter, we did see elasticity coming in better than expected. That trend has continued. As you've heard us talk, we do -- we are modeling, going forward, some elasticity. But at the end of the day, because we've been able to execute our strategy, we have and refined our portfolio. We really are in categories that are pretty resilient and our offerings about those categories are focused on a variety of value propositions and playing in multiple segments. So we just feel that we're very well positioned in this environment and just will continue to execute our strategy.
Operator: Next question today is coming from Laurent Grandet from Guggenheim.
Laurent Grandet: Actually, I would start by digging a bit more in Ken's question about the guidance because that's the key question I receive as well from investors. So you already kind of said how much, I mean you expect in terms of growth for Uncrustables in the first quarter and the back half of the year. So maybe could you give a bit more color into what you expect in the coffee segment or in the Pet Food segment, that would be super helpful.
Tucker Marshall: No, we're just pulling together some data for your answer, Laurent. Thank you.
Laurent Grandet: Okay. Thank you.
Tucker Marshall: Yes. So I think as we think about -- we are anticipating top line growth for coffee throughout the year. Again, that is primarily driven by pricing as a result of covering material cost inflation. As you think about the growth profile, we would anticipate that coffee continued its profitability growth at the bottom-line year-over-year from a dollar standpoint. And we would anticipate that margins improve as we move through the fiscal year, but the first quarter margins would likely be the lowest. And we will more likely than not get back to the 30% level. We will be short of that for the fiscal year. As you think about our pet portfolio, we are anticipating top line growth for pet. Once you isolate the impact of the divestitures year-over-year, that top line growth for pet then does translate into bottom line growth through the first 3 quarters. Pet will lap a pretty strong fourth quarter, as you saw in the results today. Again, the story within pet is pricing actions taken to cover material cost inflation. So hopefully, that gives you a context of how we're thinking about the direction of both coffee and pet. And then Mark outlined the fact that Uncrustables on a full year basis grew 19% for this past fiscal year, and we would anticipate double-digit growth of the Uncrustables brand in each of our 4 quarters in FY '23.
Laurent Grandet: Okay. And maybe a bit on Pet Food, you said you would have great Nutrish towards the end of the year. Should we think about a strong marketing push for Nutrish throughout the end of the year and potentially, I mean some upside on that front? Or because it's still about 1/3 of -- a bit more than 1/3 of your Pet Food business.
Mark Smucker: Laurent, Nutrish had a really good quarter, and it was up 14%. So some of the actions that we have been taking are starting to help stabilize that brand. So we're encouraged by that. A couple of the areas of focus for us on Nutrish are supporting some of our faster-growing segments like wet dog and dog snacks. And then as we -- I think we mentioned there in the prepared remarks about how we are going to optimize the nutritional aspects of the formulas, and we will be kicking in some new advertising in the back half of the year. So our efforts on Nutrish continue. As we've shared, it is a long-term process, but we do -- we're satisfied with the results so far, and we're going to continue to push to ensure that we stabilize that brand.
Laurent Grandet: And maybe if I may, last question, completely different, and you haven't discussed about it this morning, but one of the feedback we received from investors and actually since kept -- and that was negatively perceived was you potentially were going to do a larger acquisition in a noncore business. So that was not very well perceived by investors. So I know you came back in some meetings and tried to moderate your -- what you are saying about this. But maybe for clarification, could you please reiterate your position on that point?
Mark Smucker: Yes, sure. Thanks for the question. We have had a lot of questions about that. And what we wanted to ensure that we are clarifying is we're still very interested in acquisitions, and we want to be an acquisitive company. We want to be prudent about the dollars that we would invest in acquisitions. So they definitely are an important part of our strategy, and we do consider transformational bolt-on or emerging acquisitions. As we think about our current portfolio, we are interested in rounding out our portfolio. If you think about coffee, there are opportunities to continue to round out our portfolio there. If you think about pet snacks is an area of interest as well as snacking and our frozen handheld business, of course, is very strong. So there were unique assets in the frozen space, all of those would potentially be of interest. I think the real -- really the only shift that we were trying to communicate with all of our investors was we would not meaningfully enter a new category unless we were able to acquire a meaningful or leadership position in a new category. In other words, we would not enter a new category by acquiring a small or emerging brand. We feel that our skill set is in managing leading positions. And so we would not be looking to enter new categories with a small brand. It would have to be a growing category and the option to acquire some meaningful share of that category. So again, focusing on our existing businesses, rounding them out, pet snacks, coffee and frozen handheld are all of interest.
Operator: Your next question is coming from Robert Moskow from Credit Suisse.
Robert Moskow: I guess a couple of questions. One is when I tease out the impact of the Jif recall, I think what I'm getting here is kind of flattish EBIT, maybe even down a little bit. And I guess my first question is, in the context of organic growth being up 8%, how did you think about the flow-through of that? Like did you just think like, okay, we're just going to offset price dollar for dollar? Or are you taking into account a lot of uncertainties still in the market, supply chain disruption? And then I had a question on share repurchase. Your free cash flow guide is pretty low for fiscal '23. What are your -- what's your attitude towards buying back stock here? Do you have firepower to do it, especially given the transitory nature of the Jif recall?
Tucker Marshall: So Rob, let me break down the earnings component first, and then I can address free cash flow and capital deployment secondly. So after you isolate the $0.90 unfavorable impact from the Jif peanut butter product recall, that would put you at about $8.95. And again, that's slightly up to where we finished the year. I would just acknowledge that we did have a very strong finish for the fourth quarter. When you think about the benefit of pricing actions that either came through FY '22 or -- and will also lap into FY '23, along with the additional pricing actions that we have taken in early spring for the full year benefit of FY '23, along with the benefit of shares repurchased in FY '22, that is being offset almost by year-over-year cost inflation, our estimate of price elasticity or down volume mix and our SD&A increased year-over-year, which is in support of investments back into the business and just compensation year-over-year then it basically says you have about a $0.07 difference from where we guided versus where we finished last year. And we think this is a prudent approach at this point in time with respect to guidance after you isolate the impact of the peanut butter recall. A couple of other points that I would highlight is we are making significant investments to continue the Uncrustables growth. That is about a $0.55 impact embedded in our guidance range. There's $30 million of preproduction that we called out in SD&A. And there's another approximately $48 million to $50 million of incremental fixed overhead as we complete Phase 2 of Walmart and as we begin the initial phases of McCallum, Alabama. Then to your second question, as it relates to free cash flow, free cash flow guide is $500 million. There are a few items affecting it just for your awareness. One is the incremental investment for Uncrustables, the completion again in Longmont and the beginning phases of McCallum. Then we also do have the Jif impact that's affecting free cash flow. I estimate that to be about $100 million, and we are making in the first quarter $80 million of cash contributions into our pension funds as well. We remain committed to a balanced capital deployment model, reinvesting in the business, returning cash to shareholders. We will look at the dividend for the future because we want to continue to increase that dividend as we have done, and we will consider strategic reinvestments but we will also keep our eyes open to seeing share repurchases are appropriate as we think about delivering long-term shareholder value. So hopefully that rounds out your 2 questions.
Operator: Our next question today is coming from Jason English from Goldman Sachs.
Jason English: Congrats on the solid pet numbers. It's great to see the broad-based growth within that portfolio. I do want to come back to -- I wanted to come back to the Uncrustables side real quick and just make sure I understood what's going on there. It looks like based on what we're seeing in scanner data, there's 20 points or more of price going through that business. So for sales to be down in retail, it would suggest that you're seeing volume declines of 20 or more percent and you're still expecting if you're only coming back to low doubles next quarter or this quarter that we're currently in, you're still expecting volume declines to persist. Is that right? And that seems like a big number in terms of volume. Like what are the contributing factors to that?
Tucker Marshall: Jason, in our fourth quarter, we experienced some supply chain challenges that actually started in the beginning of our -- end of our third quarter and that had an impact on production, primarily due to labor and some other sort of fundamental sort of inputs into the product. We have since addressed those and are successfully back up to the run rates that we would expect and anticipate. And as a result of that, we just sort of managed through volume in our fourth quarter. And we did finish the full year up 19% at top line. We do anticipate that going into next fiscal year, we will continue to see double-digit growth for the brand in each of our 4 quarters of next fiscal year, that is just the continued momentum of the business. It's bringing on additional capacity. And then I would acknowledge that Uncrustables aren't immune to the cost environment. And so we've had to take pricing against Uncrustables as well just as we've had to do across our broader portfolio. But we're very confident against that brand due to the points that Mark made earlier about demand outstripping the current capacity, and we continue to bring capacity online to meet demand.
Mark Smucker: Yes. I would just add, Jason, that we want to convey to all of you and our investors that you should have no concerns whatsoever about Uncrustables. The volume was up 7% on the full year, and we do expect continued volume growth in the next year based on everything we've said. So it really was a temporary hiccup. And given the demand and supply offsets, we do expect that brand to continue to grow dollars double-digit over this next year, for sure.
Jason English: Okay. And then -- I appreciate that. Coming back to the price and cost dynamics, 15% price big number. It implies like $1.2 billion of incremental price. And I think in your press release -- I think I know in the press release, you said mid- to high teens cost of goods sold inflation, that implies like $850 million to $900 million-ish of COGS inflation. It's not usual, I guess, to see companies’ price above the absolute penny impact -- dollar impact of COGS inflation. So 2 questions. One, of that $1.2 billion how much has already been locked in? How much are you still going to have to go to retailers to negotiate for? And what gives you confidence that you'll be able to take price on a penny profit basis so far above the cost impact?
Tucker Marshall: Jason, let me start with the pricing dynamic that you're referencing. One, we do have 15% benefit to our top line year-over-year as a result of pricing. A portion of that 15% is due to actions that we took in FY '22 that did not provide a full year benefit. So I think you have to be careful in isolating the 15% to our mid- to high teens call out in our prepared remarks. The second comment that I would offer is, is that we did take pricing in early spring for the full year benefit of FY '23, that is in that 15%. And then underlying our philosophy has been to recover dollar-for-dollar cost inflation to make sure that we're passing along just the appropriate cost increases that we're seeing. And so therefore, we do feel as though we are recovering that impact year-over-year and over the last 2 years.
Jason English: Okay. And of the 15%, how much is still pending?
Tucker Marshall: Our guidance reflects -- that 15% reflects what we have taken in -- excuse me, have taken in the early spring, and so we feel as though at this point in time, we are set for the fiscal year.
Jason English: Got it. So everything like that 15% is locked in or has been agreed upon with retailers? There's not like another round that you have to go through and sell in, correct?
Tucker Marshall: We believe that our 15% acknowledges the cost inflation and the conversations that we've had with retailers to date. We will continue to monitor our cost basket as we move forward and address any incremental increases to the extent they occur and/or happen.
Operator: Your next question is coming from Peter Galbo from Bank of America.
Peter Galbo: Tucker, if I could just actually ask a follow-up on Jason's question there. With the 15% pricing number, I mean should we also assume then that you're relatively locked on the cost of goods side as well? Like are you secured on raw materials and price kind of for the year at least to this point? Or is there more kind of still to price out for the year?
Tucker Marshall: Our current guidance reflects our current cost picture, both the component that we are able to hedge or otherwise control against and also the variable portion. And so it's our best look at this point in time, absent any material changes in the overall markets or product or supply availability.
Mark Smucker: I guess -- Peter, I would just -- I just wanted to reemphasize that as we think about, again, taking price, we want to be very judicious in how we do that. And so our goal is not necessarily to over recover. We do have to pull all levers. We have to manage productivity and cost. And so to my earlier comments a little while ago about being sensitive to what the consumer is experiencing and then partnering with our customers to make sure that we are passing along is justified.
Peter Galbo: Okay. And then if I could just ask maybe a 2-parter on the recall. Just the time line of maybe when you expect the plants to be kind of back up and whether or not the guidance, it all assumes that you fully regained distribution by the end of the year. And then as a second part of that, is there any crossover of Jif product going into Uncrustables? Is that a concern to think about at all? Or is it a separate kind of supply chain?
Mark Smucker: Sure. So as you know, we initiated a voluntary recall on select Jif products. Consumer safety, of course, is utmost important to us. We care very much about our end consumer. And we continue working with the FDA to ensure that the Lexington facility is up and running as safely and as quickly as possible. Our Memphis facility was not affected by the recall and has continued to produce Jif products. Our New Bethlehem facility, which produces specialty peanut butters, does not manufacture any Jif products and is not -- also not affected by the recall. All of the peanut butter that goes to Uncrustables is produced in Memphis. And so we have continued to produce that butter and send it to our 2 facilities for Uncrustables.
Peter Galbo: And just sorry, Tucker, does the guidance assume full fully greeting distribution by the end of the year on Jif?
Tucker Marshall: So as we called out in our press release this morning, I think there is a $0.90 impact that is our current and best estimate. About half of that impact is due to customer returns, which will come through primarily in our first quarter and the other half of that impact is what we're referring to is manufacturing downtime, which will primarily impact us in the first quarter as well. And as we continue to learn more, we'll continue to update you and others.
Operator: Your next question today is coming from Pamela Kaufman from Morgan Stanley.
Pamela Kaufman: We're starting to an uptick in consumer trade down in some categories in the scanner data. Generally, how are you thinking about consumer propensity to trade down in your categories? And how are you managing this risk? And then on the flip side, are there any areas of your portfolio where you could see a benefit if consumers look for savings or trade down?
Mark Smucker: Pamela, the answer to your second question is Uncrustables, where we have seen 0 elasticity, right? And so consumers have continued to buy Uncrustables. We would continue that. We would expect that to continue as well. And we have not seen really any meaningful trade down in our categories as we are very much accustomed to competing across the entire value spectrum. Our categories are resilient, as I mentioned earlier, tend to be a bit less discretionary. And as at-home consumption remains elevated, we would expect that we would continue to grow our brands. And I think the results and our share performance in the quarter sort of put an exclamation mark on that.
Pamela Kaufman: And then just a follow-up question on your inflation outlook. Can you talk about what your current input cost coverage is for fiscal '23? What percent of your costs are covered for the year? And where do you have exposure?
Tucker Marshall: what I would offer is that we believe that we are experiencing mid- to high teens cost inflation across our cost basket, which is primarily commodity ingredients, packaging and transportation and manufacturing. And what we don't disclose is our coverage position throughout a fiscal year. But it is our best look and best estimate of our cost structure at this point in time, and we'll continue to manage and monitor the inflation and overall supply chain disruption over time.
Operator: Our next question is coming from Cody Ross from UBS.
Cody Ross: I want to go back to your 15% price guidance and 7% volume decline. That elasticity is a bit better, not a bit, a lot better than history. Can you just help us walk through your thought process behind that, how that should trend throughout the year? And as we get to the fourth quarter, do you expect it to be back towards more normalized levels?
Tucker Marshall: Yes. So the 15% year-over-year impact associated with pricing, again, is a component of FY '22 lapping into FY '23 and again, as a component of recent pricing actions we've taken for the full benefit of FY '23. Again, our philosophy on pricing has been solely to recover input cost inflation on a dollar-for-dollar basis. We believe that it's prudent in last fiscal year and this fiscal year to forecast the impact of price elasticity of demand. In FY '22, they have come in a little bit better than anticipated or under historical trends, but we do think there will be greater pressure in FY '23. And that 7% really is a composition of what we're anticipating from price elasticity of demand, but it also have some underlying momentum behind it, too, as well, which is from our Uncrustables brand that we anticipate demonstrating sort of mid-single digits to high single-digit volume growth year-over-year and a continued return to growth from our Away From Home business. And so it is our best look right now, kind of the volume impact year-over-year, Cody, and we'll continue to manage and monitor and update as we move forward in the subsequent quarters.
Cody Ross: And just a follow-up question. When it comes to -- or you made twice in your prepared remarks comment how you will take additional pricing if you need to, if inflation warrants in light of what some of the big retailers out there have said and investors' concerns. Can you just help us gain some confidence as to how you expect to and why you're so confident you can have additional rounds of pricing this year if any?
Mark Smucker: Well, a couple of things, maybe a little bit of repetition is we have generally taken a majority of the pricing across our portfolio thus far in anticipation of our costs that we would incur this fiscal year. There may be additional pricing actions that are required depending on costs and inputs and so forth. And our confidence derives from the fact that we continue to have very strong relationships with our retail customers and that we really approach any meaningful cost increases very judiciously and really work to partner with our customers and have very open dialogue as we move forward. So again, this is part of our business. It's our job, and we want to manage through it in the most positive way possible, so we remain confident.
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Mark Smucker: Well, I want to thank all of you for joining today. It's -- we clearly have executed against our strategy and are very pleased with our results and so our outlook reflects that as well. But these results are really possible because of our team and our fantastic employees. So wanted to just acknowledge and recognize the tremendous work, which -- and there's a lot of it to be very honest, that all of our folks have been doing, but just wanted to take a moment to acknowledge our employees and thank them for delivering such a strong year. Thank you very much.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your lines at this time, and have a wonderful day. We thank you for your participation today.